Operator: Good day, everyone, and welcome to LATAM Airlines Group's Earnings Release Conference Call. Just a reminder, this conference is being recorded.  LATAM Airlines Group earnings release for the period was distributed on Monday, November 12. If you have not received it, you can find it on our website, www.latamairlinesgroup.net, in the Investor Relations section. At this time, I would like to point out that statements regarding the company's business outlook and anticipated financial and operating results constitute forward-looking comments. These expectations are highly dependent on the economy, the airline industry and international markets. Therefore, they are subject to change. At this time, it is my pleasure to turn the call over to Mr. Alejandro de la Fuente, Chief Financial Officer of LATAM Airlines Group. Mr. de la Fuente, please begin.
Alejandro de la Fuente Goic: Okay. Thank you very much for joining us today. This is Alejandro de la Fuente, and with me on the call are Alvaro Caril, from our Cargo business; Andres del Valle, from our Corporate Finance Department; and Gisele Escobar, our Investor Relations officer. Joining us from São Paulo on the line, we have Jorge Vilches from our International Passenger division; and [indiscernible] from the Domestic Brazil Operation. We hope that you have all received the press release and have been able to access the webcast presentation on our website for a better understanding of our consolidated results for the quarter. Please turn to Slide 3. The third quarter 2012 represents the first 3 months since the merge between LAN and TAM. LATAM Airlines Group successfully started the integration of its business units and the transformation process to achieve the estimated merger synergies. We have adjusted commercial practices and aligned operations and processes in the international and domestic passenger operation in Brazil. We are confident that this transformation would lead to the achievement of the expected synergies. However, in the short term, we expect results to continue to reflect the transition cost as the businesses become fully integrated. Total revenues in the third quarter 2012 reached $3.3 billion compared to pro forma revenues of $3.5 billion in the third quarter 2011. Operating income reached $105 million and 3.1% operated -- and a 3.1% operating margin. Results this quarter reflect the challenges related to the transition post-merger, the turnaround process of the Brazilian domestic operations, the negative impact of the depreciation of the Brazilian currency on TAM revenues in reals and continued weak market demands in the Cargo business. LATAM reported net income of $21 million in third quarter 2012 excluding onetime items. Onetime charges this quarter include $19.5 million of expenses resulting from the merge with TAM, mostly related to consulting and legal fees. And a onetime accounting charge of $70.4 million due to the increase in the Chilean corporate income tax rate from 17% to 20%. This is a non-tax cash charge that comes from adjusting deferred taxes to the higher tax rate. Turning to Slide 4, you can see more detailed evaluations in our operating margins in the third quarter 2012. At the consolidated level, revenues this quarter were impacted by the 24% depreciation of the Brazilian real compared to the third quarter 2011, which affected TAM revenues in that currency in the amount of around $196 million. The yields also show a decline especially in the Brazilian domestic markets. However, this decline in yields was offset by an increase in passenger load factors, compensating partial declines in the Cargo business. Fuel cost decreased 1.5% compared to third quarter 2011. This decrease was mainly driven by 2.1% lower average fuel prices per gallon, partially offset by a 0.6% increase in consumption. Taking a closer look at passenger operations on Slide 5, you can see in detail the evolution of the business during the quarter. We continue to experience solid traffic trends in most markets resulting in traffic growth of 7%, while capacity increased 2%. Consequently, load factors reached 80% on a consolidated basis, so a very high level. Although passenger yields decline 9% due to lower yields in most of our operations, but especially in the Brazil domestic market. The yield decline in Brazil is also explained by the 24% depreciation of the Brazilian real during the quarter. Passenger operations at LAN were also impacted by the change in our passenger service system in September. The reservation inventory and departure control system of the airline were migrated to a new system provided by Sabre. This conversion process implied moving from our 2 previous suppliers, which were Amadeus and Receiver [ph], to a single supplier, Sabre. This was the result of a long-term strategic project at LAN, which lasted over 2 years and represented total CapEx of $82 million. As a result of the migration measures taken for the cut over period, LAN stopped the sale of all passenger ticket during one day and reduced sales during a period of 7 days. It's important to note that this only affected LAN operation since TAM's provider of inventory and reservation system is Amadeus. We expect this change to result in substantial savings over the coming years. Although the cut over has been successful, we are still working on adjusting processes and systems to accomplish full stabilization and continue to work on improving the functionality of the system. Turning to Slide 6. LATAM continues to expand passenger capacity throughout its network. Passenger capacity expansion this quarter was driven by growth in our domestic markets. Routes within Chile continue to be a growth driver, while capacity increased by over 17%, in line with strong demand trends. Domestic operation in Argentina show a strong increase, mainly due to a low comparison base in third quarter 2011 when demand was affected by the volcano eruption. Despite recent regulatory and political concerns in Argentina, the country continued to be a strategic part of the LATAM network and our long-term business plans for LAN Argentina has not changed. In Columbia, we continue to develop our domestic passenger operations and to integrate that market with the rest of LATAM network. As you know, our focus has been on the turnaround of Aires and on stabilizing operations in the domestic market, in line with the operation model of LATAM. This means a complete overhaul of the company and a gradual change in the fleet of the LATAM 8 Airbus 320 family. Currently, we are in the process of improving the position of the LAN brand in the Columbian markets. Growth in the regional business has benefited from opportunities to integrate the LAN and TAM networks. Capacity increases are the result of more frequencies and a change in aircraft time on routes between Santiago and Brazil, Buenos Aires to São Paulo, Lima to São Paulo and Santiago to Buenos Aires. On long-haul routes, capacity increases have been focused on routes between Brazil and the U.S., offset by decreased capacity on routes to Europe. TAM's new Boeing 777 is operating the route between São Paulo and Miami, showing very strong load factors within a short period. Although LATAM's passenger capacity expansion remain highly diversified, providing the Group with significant flexibility to adjust capacity deployment to demand conditions in different markets. On Slide 7, you can take a closer look at the Brazilian domestic passenger operations. Continued capacity discipline in the domestic Brazil business unit has shown positive results. TAM reduced capacity by 1.8% this quarter. This adjustment, together with improved revenue management practices, allowed for load factors to increase 10.6% points to 78.1%. The figure is in line with the rest of the Group's domestic markets. However, yields in domestic markets saw significant declines due to the 24% depreciation of the Brazilian real, an accommodation in the first tractor [ph] of the industry in the domestic market in order to operate at higher load factors and a decreased demand for corporate truck, although we believe we are in the process of an industry adjustment in the domestic market in Brazil, which we expect to show positive results over the coming quarters. Please turn to Slide 8 for an overview of LATAM's Cargo operations. The integration of LAN and TAM Cargo operations has proceeded very quickly and has been substantially completed during the third quarter. This allows TAM's belly capacity to be commercialized as part of the LATAM earning group network, increasing efficiency on long-haul routes. Cargo markets continue to face a challenging environment, reflecting a slowdown in global freight momentum. The decline in Cargo traffic is driven in particular by weaker import into Latin America, especially in the Brazilian market. However, we continue to see strong demand for commodities from South America, including fresh salmon and other perishables. At the same time, both regional and international competitors continue to be active in the region, pressuring prices. The company was able to adjust capacity in its freighter fleet, in line with lower demand, giving priority to the utilization of freighter capacity in line with our integrated Cargo and Passenger business model. LATAM's Cargo traffic decreased 5.6% during the third quarter, while capacity declined 3.2% due to capacity adjustments in the freighter fleet and the reduction of admin leases, partially offset by the incorporation of new Boeing 777 freighter towards the end of the quarter. In September and October 2012, the LAN Cargo took delivery of 2 new Boeing 777 freighters. These aircraft have a significant competitive advantage in term of efficiency, transporting double the capacity of a Boeing 77 with only 4% higher fuel consumption. With this aircraft, LAN Cargo plans to increase capacity on routes to Europe and on the denser routes in Latin America, replacing operations currently served by the Boeing 77 freighters. Please turn to Slide 9. Having completed the merge with TAM at the end of June 2012, during the third quarter, we have started the integration of certain corporate functions, as well as the international passenger and Cargo business units of LAN and TAM. The company also began the implementation of its plans to achieve the estimated merger synergies. The work done during the first months of integration has allow us to reaffirm the synergy targets of between $600 million and $700 million to be fully achieved by the full year after the merger. Please turn to Slide 10. And regarding the national passenger operations, the company has already started for combinability, cross-selling and culture on various international routes. In addition, passenger of both airlines already have access to the benefit of each other frequent flyer program, TAM Fidelidade and LANPASS. The company has established new and improved agreement with international carriers, most notably, an SBA between TAM and American Airlines. Also, we have aligned commercial practices and harmonized the onboard product on certain routes. In addition, LAN and TAM have published new operations on regional routes in order to achieve the synergies expected from this business. In July, the Cargo divisions of LAN and TAM were integrated, taking us -- taking advantage of the highly complementary nature of their operations. The extensive networks of TAM's passenger aircraft allows for growth coverage with over 40 domestic destinations while LAN's Brazilian Cargo affiliates, ABSA, operates freighters and can provide increased capacity for denser routes. All domestic and international cargo operations in Brazil, including belly capacity and freighter aircraft, will be commercialized under the TAM Cargo brand, which is well positioned in the Brazilian market. Cargo operations outside Brazil will continue to be commercialized under the LAN Cargo brand, which has strong brand recognition in the markets where it operates. The belly capacity of TAM's international passenger operations to and from Brazil previously commercialized mainly through third parties, is being managed by LAN Cargo and its affiliates. We are also on track to achieve cost synergies projected for the group. As of today, LATAM has successfully completed field negotiations in some of its main airports, as well as achieving efficiencies in terms of engine inventories and insurance negotiations among other initiatives. On the other hand, LATAM Airlines Group estimates onetime cost associated with the closing of the transaction and the realization of synergies of approximately $200 million. These cost do not include the transactions costs that had been incurred by LAN and TAM separately until the end of the second quarter 2012. During this quarter, we will recognize onetime merge costs in the amount of $19.5 million, mainly related to consultant and legal fees. Regarding our plans with Multiplus, we are currently the process of harmonizing the frequent flyer programs, LANPASS and TAM Fidelidade, especially on routes where LAN and TAM have overlapping operations. Once that is finalized, we will evaluate the impact on the relationship between TAM and Multiplus, as well as the possible full integration between LANPASS and Multiplus. Please turn to Slide 11 to see our estimates for ASK and ATK growth for 2012. On our passenger operations, we expect 2012 capacity growth of between 3% or 4% for the group. TAM's domestic passenger ASK in the Brazilian market are expected to decrease approximately 2% during this year. Considering current market conditions, the company expects passenger ASK growth in 2013 for LATAM Airlines Group to be approximately 4% to 6%. TAM's domestic passenger ASKs in the Brazilian market are expected to decrease by approximately 7% in the first semester of 2013. We are analyzing the capacity estimates for the second half of next year in the Brazilian market. Regarding Cargo operations, LATAM expects Cargo ATK growth between 0% and 2% for full year 2012, including TAM belly capacity. For 2013, the company expects total cargo capacity to grow between 6% and 8%, mainly driven by the incorporation of 2 Boeing 777 freighters in September and October 2012, as well as additional belly capacity on international routes. Overall, we are optimistic about the opportunities we see for LATAM Airline Group. The first few months of the integration with TAM have proven there are plenty of the business opportunities, and we remain confident that the estimated synergies are achievable. However, we will recognize that there is a transition period, which reflects a learning process as the business units are integrated and processes are aligned. We expect this transition period to be a few quarters, but we remain very confident in the long-term value of the merged company and that the announced $700 million in synergies are achievable. On Slide 13 (sic) [Slide 12], you can see our fleet plan for the coming years. Overall, we continue to have confidence in the significant growth opportunities in the domestic and international markets in Latin America, providing the basis for increases in Passenger and Cargo demand in South America for the coming years. Also, our fleet plan reflects our commitment to keeping a modern and fuel-efficient fleet. On Slide 14 (sic) [Slide 13], you can take a closer look at LAN's new Boeing 787 Dreamliners. In September and October, we took delivery of the first 2 787-8 Dreamliners, becoming one of the first airline in the world to operate this modern and efficient aircraft. Because of its composition, this aircraft will allow the group to achieve unprecedented efficiencies in fuel consumption, consuming between 12% and 15% less fuel than Boeing 767. The Dreamliners are currently operating on regional routes from Santiago to Buenos Aires and to Lima. Next year, we will start operating them in our long-haul routes to Los Angeles, Madrid and Frankfurt. On Slide 15 (sic) [Slide 14], you can see our consolidated fuel hedge positions for the upcoming quarters. Our financial hedging strategy is in addition to our fuel surcharged policy applied to most Passenger and Cargo operations, which allow us to recover approximately 50% of higher fuel costs. Since the closing of the transaction, hedging is done jointly for both LAN and TAM at the LATAM Airlines Group. In order to mitigate the impact of the mark-to-market in fuel hedging contracts, we are not subject to hedge accounting at TAM. As of the third quarter 2012, LATAM accounts for these derivative contracts under hedge account. And therefore, their mark-to-market value are not longer reflected in the consolidated income statement. LATAM has hedged approximately 47% of its estimated fuel consumption for the full fourth quarter of 2012 and 13% of its average estimated fuel consumption for 2013. The company's fuel hedging strategy consists of a combination of collars, swaps and call options for WTI and Brent at the price ranges shown on the slide. In closing, we are very pleased that this quarter, we were finally able to begin the integration between LAN and TAM. In the short term, this process will inevitably have cost and we'll learn each other's operations and integrated system and teams in the different business units. Nevertheless, we continue to be fully committed to the integration and the turnaround of the Brazilian operations and are very confident in the long-term value creation as the result of this historic merge. Now we will be pleased to answer your questions.
Operator: [Operator Instructions] And your first question comes from the line of Michael Linenberg from Deutsche Bank.
Richa Talwar: This is actually Richa Talwar filling in for Mike. Just a few questions from our side. First, on your capacity plans for 2012, particularly for the domestic Brazilian passenger market, we noticed a change. It reads now that domestic capacity in the market will be down 2% in 2012. And I believe your prior guidance adjusted a decrease of 2% to 3%. And we were just wondering the rationale behind the change, especially with your commentary regarding demand trends which remains relatively cautious.
Jorge Vilches: Yes, this is Jorge Vilches for the long-haul business. We did a reduction in capacity, a small reduction in capacity considered last year, basically on routes, on TAM routes, to Europe, routes originating in Rio de Janeiro that we're not showing very good results and that was done before the merge. And so it was a slight reduction. And since then, we haven't done any capacity adjustments. This has been taken place more than 6 months ago. But now we're focusing on an increase for this fourth quarter where we're really putting -- or adding capacity mostly from Brazil to the U.S. and other LAN markets to the U.S. because we're receiving all these aircraft, the Boeing 777 and also the 787, that's why we're increasing. But this is focused on the fourth quarter.
Richa Talwar: Okay, got it. But in light of all of this aircraft coming to the fleet, is there still ample flexibility if you do want to flex down going forward and demand doesn't satisfy the supply you've put into the market?
Jorge Vilches: Pardon me, can you repeat your question?
Richa Talwar: Just asking if you still feel like even with all these aircraft coming on board that you still have ample flexibility to reduce capacity, if need be.
Jorge Vilches: Oh, yes. Definitely. And actually, we're focusing now on putting that extra capacity where it's more needed and some of that may even remain grounded if we feel that it's not the time to add more capacity. But what we're seeing so far, for example, we just increased 60% the São Paulo to Miami route, which is a lot for that route. It's one of the most profitable routes in our network. And 2 weeks after that, we reached load factors above 80%. So that gives us a good idea and a good sense that these specific markets where we're improving increasing capacity are the ones that need it the most. Also, in the case of New York, we're doing that. We see a good answer and a good demand in this market. So -- but still, yes, we keep flexibility, and we'll add capacity depending on how these markets react.
Richa Talwar: Okay, great. And then my second question is just on the replacement of the passenger service system at LAN. You mentioned that the change is causing disruptions to your ticket sale process. And although the issue has been mitigated, you're still working to fully stabilize your operations. So I was wondering if you could quantify the impact of that change at all in the September quarter and then give us some color about how to think about it, incorporating the potential savings as well for future quarters and then also provide some timing on when you think the related issue from the change will be fully resolved.
Gisela Escobar: Richa, this is Gisela. We made this change in the regulation system on September 7. And as part of the mitigation measure, we did decrease sale for a week around the time when the cutover occurred. So there was some impact in terms of probably sales that would have occurred had we not tried to be a little bit more cautious, but it's not something that we are really able to precisely quantify in terms of less revenue. But it's something that now -- right now, what we're seeing is -- I think most of the issues that have already been resolved and it's just a period of time during which all of the sales personnel needs to get accustomed to the use of the new system and sort of other more just operational issues like that. I think that in the long term, this is something that is very valuable because the previous system that we had was actually a dual system where we had the inventory system on one system and the traditional system on another, so it produced a lot of inefficiencies that will create cost savings now that we've migrated to a single system. So it's something that should be resolved during the rest of this year and that will have benefits in the medium term.
Operator: Your next question comes from the line of Nicolai Sebrell from Bear Stearns.
Nicolai Sebrell: I work for Morgan Stanley. Sorry about that. Cargo, can we talk a little bit about cargo? There was a little difference versus what we expected in the quarter. I was wondering if -- and you did comment a little bit about that. But I'm wondering if it's primarily the symptoms of a global slowdown or if you think it's temporary, or whether competition has an impact in there. That's the first question. And then maybe a little bit about -- what exactly are the next steps for TAM integration? You did throw the slide up and you talked about the things you expect, but I was thinking about, for example, the back-office systems. TAM, we understand, has a back office that you would like to streamline, improve, integrate into a single system that is LATAM. And I was wondering what kind of timeline that is and then -- and whether you feel you've got a lot of that done already or are you still in the initial stages, so some details there. And a third, very quick question, airline alliance. I thought maybe we'd have an announcement with the earnings release, but when might you expect to make a final announcement on that?
Alvaro Carril: This is Alvaro Carril from the cargo business. Regarding the cargo business on this quarter, I think there are 3 main issues that affected our business. The first one, of course, is the global crisis and that hit everybody, every cargo airline in the world and especially strong, I think, in July and August. And it has -- I think that was the worst part of the year. Now September, October, you see it's getting better. Well, this is always a part of the year when cargo comes up a little bit, but July and August were the worst months in terms of the downturn, especially in the cargo. I'm talking especially on the cargo going into Latin America, coming from the U.S. and Europe and Asia, coming into Latin America and especially into Brazil. Brazil was the market that posted the biggest decline in terms of cargo traffic. On the northbound business or the business coming out of South America, it's the opposite. It's going up, especially salmon in Chile, that recovered from its production crisis. And also, all other perishables coming out of South America to Latin America into the U.S. and Europe are going up. The second thing that affected the market is the competition mainly because of the rest of the world having so much problems, everybody is willing to come to Latin America and there are many operators that started operating into Latin America or increased their operations to Latin America. So this also -- this increased competition in a market that was slowing down. Of course, affected the yields and this is also another thing that impacted us. And the third thing is that we put a lot of attention and efforts in the integration with TAM. And in the first couple of months, we were not able to achieve everything. We were in the process of changing the offices around the world from the former TAM arrangement with -- mainly with third parties into our offices. And all these integration took time and effort, especially in July and August, and this is why load factors on mainly capacity for the TAM routes didn't pick up until late September. And now by the end of the year, on the international operations, we are fully integrated that we will now start to see the benefits of these integrated operations.
Nicolai Sebrell: Okay. The detail is extremely helpful, especially on the TAM part. And the 777s that you're adding, the ones that you're getting, third quarter, fourth quarter, will those go on routes that will be accretive to yield, I mean, assuming all else stays constant? And are you competing on these new routes to Europe or et cetera on price? Or how is that going to work? Because it is a lot of capacity.
Alvaro Caril: Let me also -- let me explain you the point. These 2 aircraft, first of all, will replace the 2 767s ACMI that we are taking away, so we're taking them back. So part of the added capacity will replace that, the capacity that is going out. And also, we have recently started -- we have deployed another 767 from our fleet into our Brazilian subsidiary to fly for the Correio do Brasil from the Brazilian post office. So -- and then the 2 777 will replace all these operations into our markets from the U.S. to South America and also increase our operations between Latin America and Europe. How we compete? Well, as always, it's service and price, of course. We think we have a very good service and I think our customers recognize that, so we are able to charge a difference, or our competitors, we mainly compete in Europe with a large -- the large European carriers like Lufthansa, Martinair from the group in France, also Emirates line. And we feel very confident that we are going to be able to increase a little bit our market share, mainly because of our service. And also, it's good to mention the combination between our freighter and belly capacity gives us the possibility to offer a very good product from 6 different origins in Europe to many, also, destinations in Latin America. And this is the very similar situation that we have in the U.S. where we have many origins in the U.S., 4 -- 5 now, and also to all destinations in South America. The combination of freighter and passengers gives us the possibility to provide a very good service and this also allows us to charge a little bit more. But with this slowdown of the economy and also the strong competition, yes, it's hard to maintain prices.
Nicolai Sebrell: And then the second question regarding TAM integration, back office, timing, progress, et cetera?
Gisela Escobar: Well, in -- Nick, it's Gisela. In general, on the integration process, we have, within the passenger international operations, cargo and the different support areas, different work streams that are working on different initiatives, each one with their own timeline in order to achieve the synergies over the rest of this year and next year. Each initiative, obviously, has its own milestones and its own process and they're all working in parallel. But for now, the track that we're on is that we're definitely still in line to achieve the $200 million target that we have at the EBITDA level for 12 months after the close, which would be June of 2013, so we should achieve between $170 million and $200 million of a run rate higher EBITDA within the first 12 months.
Nicolai Sebrell: Okay. But I was wondering if -- and maybe don't know the answer, which is fine because it is kind of a detail, but I was wondering if the TAM back office system, and when I say back office, I mean the whole system, you've probably seen a diagram of it, it's pretty impressive. And I was just curious if you knew what kind of timeline whether you think you can clean up or make more efficient that system within a year, within 2 years, within 3 years or 6 months, so I was wondering if -- because $200 million, I absolutely believe you guys are going to hit that, I have no question about that. I was just curious whether -- if you look at some of details that are a little bit more challenging and whether you could give us a timeline or anything like that or maybe it's not something you can disclose.
Gisela Escobar: Basically, the timeline that we're working on for that is within a 2-year period.
Alejandro de la Fuente Goic: Within the next 2 years, then we'll see back office.
Nicolai Sebrell: Okay. Perfect. And then just the last question on airline alliance.
Gisela Escobar: Unfortunately, we don't have any news there yet. It's something that we're still working on, and we're not able to make a precise estimate on when that's going to be -- that negotiation is going to be concluded, but it's moving forward.
Operator: Your next question comes from the line of Eduardo Couto from Goldman Sachs.
Eduardo Couto: I have 2 questions, if I may. The first one on the load factor, passenger load factor. When we look at your load factor in Brazil, I think it has been going up in the recent months. So my question is, do you have a target load factor for your operation in the domestic market in Brazil? That's the first question.
Unknown Executive: Hi, this is Francisco from the Brazilian domestic operations. And indeed, we are on target. We want to operate at the same level that we operate on the rest of our domestic markets and there are many changes happening us around now for some of the major players of the industry are taking a strategy of capacity discipline that will help for sure to increase the load factor. And also, during the last month, we introduced some changes in our revenue management that helped us to reach 81% of growth factor in July or 78% in September, so we're very optimistic of not only the temporary change, we'll work into a substantive number during the next month quarter calendar year and that needs to change also.
Eduardo Couto: Okay. So we can work with something between 75% to 80% for loading in Brazil, that's your view?
Unknown Executive: It would depend on the environment, but it's our target. And if you saw the September number, within 6 months -- in 5 years, that the aim to reduce the capacity will drop 2%. That means it's not only a TAM effort, it's an industry effort and, for example, with freight, less capacity next year if you compare 2011. So it's a double effort to improve our load factors as an industry.
Eduardo Couto: And do you expect to improve your load from -- much more from lower capacity or from lower yield? How is the yield management of vis-a-vis the capacity discipline?
Unknown Executive: That's the capacity because, as you know, we used to fly with 65% of load factor and so it's the early beginning. We're going to listen to capacity discipline of the industry and it's a link [ph] of the 2 effects. And our revenue management strategy is based on the factor value of the corporate passenger because we have the brand, we have the product, we have the network but also be very competitive on the price in Europe [ph] that they buy with longer transfer to control and also to the growing demand. Brazil is a growing country and we strongly believe on the future of the industry because the number shows that it will grow for sure. So the freight industry will grow.
Eduardo Couto: Okay, now it's clear. And just a second question regarding your fleet plan. Now you're going to add more or less 60 of A320s in the next 3 years. So I was just wondering where you're going to put these new aircraft as the 320 I think you cannot do a long haul, right? So I was just wondering if this is because 60 new aircraft, it's a lot of capacity. I was just wondering where you're going to launch those new planes.
Andrés del Valle: Andres del Valle here from Corporate Finance. Typically, we have a lot of aircraft 320s, especially leaving the fleet, so I think some of them is going to be for replacement aircraft and other ones are going to be for growth. But typically, on any given year, something like 12 to 14 aircraft leave the Brazil fleet, so the 320s, so it's not a pure growth. Most of them is going to be deployed in the region, of course, domestic Brazil, domestic Chile. And then as soon as we see fit any new operation, we will redeploy into those new markets. One of the LATAM's beauty of their business model is that we can redeploy assets from market depending on market conditions.
Eduardo Couto: Okay, now it's clear. And just a final question, guys, on the LANPASS. Can you give us an update regarding the potential transfer of the LANPASS or the incorporation of LANPASS by Multiplus? Is there any timing for that or you guys haven't still decided what you're going to do with LANPASS and Multiplus?
Alejandro de la Fuente Goic: As I explained, we're currently in the process of making [ph] a program in LANPASS and Fidelidade especially in routes where LANPASS has overlapping operations, but once it's finalized, there's already impact on the relation between LAN and Multiplus as well as the possible further integration between LANPASS and Multiplus.
Eduardo Couto: But do you expect the merger in the short term or no?
Alejandro de la Fuente Goic: No, we don't know yet. We are still evaluating that.
Eduardo Couto: Okay. So it's still something not decided by the company.
Alejandro de la Fuente Goic: Yes, that's right.
Operator: Your next question comes from the line of Savi Syth from Raymond James.
Savanthi Syth: Question on the Brazil operations. I know there's a new connection fee coming up and there's also some changes to payroll taxes. I was wondering if you could quantify what the impact would be on kind of overall operational costs from those 2 items.
Alejandro de la Fuente Goic: You are talking about the new -- the connection fee about the [indiscernible] reals of...
Savanthi Syth: Yes.
Alejandro de la Fuente Goic: No, we do not expect major changes in reals [indiscernible]. It's very marginal and it's part of our next year target. So we don't expect major changes in demand because of the amount.
Savanthi Syth: Okay. And is there any benefit from the changes to the payroll tax?
Alejandro de la Fuente Goic: Sorry, I don't understand the question.
Savanthi Syth: I guess I'm under the impression that there are going to be changes to payroll taxes in Brazil that should save some costs, but probably not meaningful.
Alejandro de la Fuente Goic: Sorry, here in São Paulo, we don't understand your question. What change are you mentioning?
Savanthi Syth: Sure. Is there any changes to payroll taxes or in how Brazilian payroll taxes?
Alejandro de la Fuente Goic: Well, you mentioned that -- it's called here the [indiscernible] to reduce the taxes to the salary?
Savanthi Syth: Okay. And maybe I can ask a second question then. On the Colombian operations, what was the profit or loss this quarter?
Gisela Escobar: It was no big change from the previous quarter. Basically, we're still showing similar margins and we are focusing on stabilizing that operation by next year.
Savanthi Syth: All right, great. And just a couple of maintenance questions. Just what was your shares outstanding? And also, what were the combined cargo ATKs for 2011 and the first half of 2012?
Gisela Escobar: The share number was 476 million outstanding, and I can send you the exact ATK numbers by e-mail.
Operator: Your next question comes from Bianca Faiwichow from GBM.
Bianca Faiwichow: I have 2 questions. The first one is regarding your domestic yields. I recently read an interview with Volena [ph] in a Brazilian newspaper and he said that a 10% increase in yield is needed to reach the breakeven. So for this quarter, we started dropping Brazilian yield and I just want to know what we can expect for 2013 and for the second quarter and also 2012, and how do you think demand should be impacted. And the second question is regarding the recovery in the investment grade process. How is it going? And that's all.
Alejandro de la Fuente Goic: About the news in Brazil, you're right, on the third quarter, we saw a drop of the yields but we believe it was part of the process of the industry adjustment and we don't see major changes, not only the scenario of the Brazilian real, the new capacity and also our newer revenue management strategy but also the freight as an industry and a slowdown of the corporate demand. We're doing August and September and it seems part of the process, will create some movement up there. But with the yields up now in November, we're back to the level of an industry that we would feel comfortable. So expect increase of yield during the next quarters. And in fact, if you drill down the quarter, our yield increased in reals on July. But after August and September, we lost again. But with regards to the question, the answer, we are confident of the future.
Operator: Your next question comes from the line of Martin Perez from Santander.
Martin Perez Peña: I would like to ask what you can comment on the -- about this 39% increase in maintenance expenses, please.
Gisela Escobar: Basically, most of the increase is due to an increase in redeliveries of aircraft during this quarter -- during the third quarter, redeliveries of some aircraft specifically. And then there's also some other issues. In general, the maintenance expenses in Brazil are not as smooth throughout the year as the ones in the LAN operations because it's much more -- it's basically on an expense basis whereas at LAN it's provisioned throughout the year. So you'll see a bigger variability but it's basically that, nothing extraordinary.
Martin Perez Peña: You mean, nothing that you were not expecting?
Gisela Escobar: No, no. That line only shows -- remember, that line only shows basically minor line maintenance because all of the major maintenance is now capitalized and depreciated, which is different from what TAM used to do prior to the merger.
Martin Perez Peña: So if I understand it correctly, when you move the assets to LATAM, you will start accounting that way, I mean, capitalizing and depreciating?
Gisela Escobar: No, we account that way for TAM, regardless of what aircraft it is. The whole group has the same accounting now, yes, the same accounting policy.
Operator: The next question comes from the line of Stephen Trent from Citi.
Stephen Trent: I joined the call a little bit late so I apologize if you've already answered this question. A quick question on fleet and I may have missed this, but in the last quarter, you were describing how you would perhaps reincorporate some of TAM's existing fleet outside of São Paulo and into Santiago. And I'm wondering if you could reveal where you are in that process and whether you've had any success in doing so.
Andrés del Valle: Steve, Andres del Valle here. Is your question regarding the movement of a fleet, the TAM fleet, up to the LATAM level, is that the question?
Stephen Trent: Exactly. So in Q2 results, you'd suggested that maybe you could avoid some of the FX cost-related earnings volatility by transferring some of those planes to Santiago.
Andrés del Valle: Yes, we are in the process. We are finalizing the studies that will lead to eventually move the fleet up to LATAM level from TAM but that's once we have the final blessing from all authorities, tax impact, accounting impacts, we will proceed. And that process will take at least something like 8 months. So this is something that you should see if it happens during the next year, not this year. That's for the existing fleet, that's for the start. Going to be yet to be delivered for TAM, one of the new incorporations this year, especially the 777s and 320s, they have been added to the LATAM level, so the head lease goes to LATAM with a sublease into TAM. So off of the new fleet, that's already in place and yet to be finalized for the existing fleets.
Operator: Your next question comes from Nicolai Sebrell from Bear Stearns (sic) [Morgan Stanley].
Nicolai Sebrell: Just quickly, you mentioned the potential for grounding aircraft. Do you have any aircraft currently grounded?
Andrés del Valle: No.
Operator: I would now like to turn the call over back to Mr. De la Fuente for the closing remarks.
Alejandro de la Fuente Goic: Okay. Thank you, again, for joining us today. Feel free to call to our Investor Relations department if you have any additional questions. We look forward to speaking with you again soon. Thank you very much.